Operator: Good day and thank you for standing by. Welcome to the Suncor Energy Fourth Quarter 2024 Financial Results Call. [Operator Instructions] Please be advised that today’s conference is being recorded. I would now like to hand the conference over to your speaker, Suncor Energy Senior Vice President of External Affairs, Mr. Troy Little. Please go ahead.
Troy Little: Thank you, operator, and good morning. Welcome to Suncor Energy’s fourth quarter earnings call. Please note that today’s comments contain forward-looking information. Actual results may differ materially from the expected results because of various risk factors and assumptions that are described in our fourth quarter earnings release as well as in our annual information form, both of which are available on SEDAR, EDGAR and our website, suncor.com. Certain financial measures referred to in these comments are not prescribed by Canadian generally accepted accounting principles. For a description of these financial measures, please see our fourth quarter earnings release. We will start with comments from Rich Kruger, President and Chief Executive Officer; followed by Kris Smith, Suncor’s Chief Financial Officer. Also on the call are Peter Zebedee, Executive Vice President, Oil Sands; Dave Oldreive, Executive Vice President, Downstream; and Shelley Powell, Senior Vice President, Operational Improvement and Support Services. Following the formal remarks, we’ll open up the call to questions. Now I’ll hand it over to Rich to share his comments.
Rich Kruger: Good morning. Suncor’s fourth quarter was about finishing 2024 strong and building momentum for 2025. I believe we accomplished both objectives. I’ll focus my comments on key aspects of the full year 2024. Kris will primarily focus on the fourth quarter results. Let me start with personnel safety, our top priority. As you’ve heard before, 2023 was our safest year ever. I am pleased to report 2024’s performance was as good as or better than 2023. Some statistics, the number of lost time injuries were down 30% year-on-year and down 60% over the last 2 years. Our lost time incident rate is tied for our best ever. Number of recordable injuries were down 16% year-on-year or 30% over the last 2 years, and our recordable incident rate in 2024 was indeed best ever. Process safety, a function of our people, our work management processes and our facilities. 2024’s performance was best ever, a significant 30% better than our previous best, and it positions us within the first quartile in North America. Upstream production, full year, 828,000 barrels a day, far and away the best year in company history, 51,000 barrels a day or 6.5% higher than our previous best, and 82,000 barrels a day or 11% higher than last – than 2023, and 18,000 barrels a day above the high end of guidance. Full year Upgrader utilization, 98%, the highest annual average ever, 6% higher than our previous best. Three or four quarters in 2024 had utilization of 99% or higher in both the base plant and Syncrude achieved best ever performance. Added perspective on the 82,000 barrel a day increase from 2023 to 2024, about half of it is related to the fourth quarter ‘23 acquisition impact of Total’s 31% interest in Fort Hills. The other half is straight-up performance within the exact same asset base. Monthly, quarterly and annual records were set across the company, led by Firebag at 234,000 barrels a day in ‘24, up 17,000 barrels a day or 8% year-on-year. Over the last 2 years, Firebag added 35,000 barrels a day or 18%. It is our most profitable asset and internally known as the gift that keeps on giving. Refining throughput, full year, 465,000 barrels a day, again, far and away the best year in our history, 24,000 barrels a day or 5.5% better than our previous best, and 44,000 barrels a day or 10.5% higher than 2023. And again, 20,000 barrels a day above the high end of guidance. Full year refining utilization, 100%, our highest annual average ever, 5% higher than our previous best. All four refineries were outstanding, ranging from 94% to 105% utilization. Edmonton, our most profitable refinery, led the pack with a record 105%. A fact for you, every major asset company-wide, upstream and downstream, operated at greater than 100% utilization for the entire fourth quarter. This is extraordinary performance and a credit to Suncor teams company-wide. Refined product sales, full year, 600,000 barrels a day, again, far and away the best year in company history. 46,000 barrels a day or 8% higher than our previous best and 47,000 barrels a day or 8.5% higher than 2023, 20,000 barrels a day above the high end of guidance. All four quarters in 2024 were the highest quarters in company history. In fact, it was back to back to back to back quarterly records. Suncor, we call that a four-peat, even Pat Reilly, former coach of the L.A. Lakers would be jealous. Total OS&G, $13.1 billion, down $324 million in absolute dollars year-on-year. And this is despite 11% higher upstream production and 10.5% higher refining throughput. Let that soak in for a minute, 10% to 11% higher volumes and 2.5% lower absolute costs. Every major operated asset, upstream and downstream delivered lower absolute and/or unit costs in ‘23 – or, sorry, ‘24 versus ‘23. I’ll offer another perspective on year-on-year cost management. Let’s assume that that fourth quarter ‘23 acquisition of Total’s 31% working interest in Fort Hills never happened. Take out all the impacts of the additional ownership, production costs, apples-to-apples, 2024 versus 2023 performance with the exact same asset base. OS&G would have been down $1 billion, yet upstream production would have been up 37,000 barrels a day and refining throughput 44,000 barrels a day. My message here is operating leverage is creating tremendous value company-wide. Volumes delivery, asset utilization and cost management, each require discipline, determination, attention to detail and a mindset that every barrel and every dollar matter. That is the mindset and culture of today’s Suncor. Total capital, $6.2 billion, more than $200 million below the midpoint of guidance. Again, discipline, attention to detail and rigor in execution. Free funds flow, $7.4 billion in 2024, essentially flat with 2023. However, the business environment decreased free funds flow by about $1.5 billion year-on-year, downstream cracks, sweet/sour synthetic differentials. Capital was $500 million higher, as planned, in ‘24 versus ‘23. You’ll recall the two drivers there were Peter’s 55 new 400-ton haul trucks and opening two pits versus one pit in the Fort Hills North mine. And in addition, we had the absence of fourth quarter ‘23 tax pools from the Fort Hills acquisition of about $750 million. If you do the math, organizational self-help, what Suncor teams delivered in volumes, cost, margins added $2.75 billion in free funds flow year-on-year, essentially offsetting the headwinds dollar for dollar. Of that, we returned $5.7 billion in cash to shareholders, buybacks of $2.9 billion, 4.3% of shares and dividends of $2.8 billion. Take you back 9 months to our Investor Day, May 2024. We communicated several big objectives over a 3-year period from 2024 through 2026. Upstream production growth of 108,000 barrels a day, $10 a barrel reduction in our corporate breakeven, $3.3 billion increase in annual free funds flow and an $8 billion net debt target, at which time we would shift to 100% buybacks. We told you we would report on our progress, so here we go. 108,000 barrel a day production growth. Our target in 2024 was 60,000 barrels a day. We achieved 82,000. $10 a barrel reduction in our breakeven. Our target in 2024 was $4 a barrel. We achieved $7. $3.3 billion increase in annual free funds flow. Our target in 2024 was $1.3 billion. We achieved $2.3 billion. $8 billion net debt. Our target was mid-2025. We achieved it at the end of the third quarter 2024, delivering on commitments, again, the culture of today’s Suncor. We’ve uploaded a presentation on the Events and Presentations page under the Investors section of our website, where we detail the free funds flow update and the material shows the progress for the 3-year plan. We’ll continue to provide this to help save folks some analytical time. Bottom line, 1 year into a 3-year plan, we’re exceeding every target established. In fact, we’ve essentially achieved target improvements for 2024 and ‘25 in the first year. We’re accelerating the capture of shareholder value, and that will continue this year now with a full year planned at 100% buybacks. Our objective in 2025 is to solidify the 2024 gains and proceed to capture the next tranche of value. My final comments. 2024’s results are a credit to our people across the company, their expertise, their dedication, their determination, Suncor teams delivered. And personally, I am so proud to work with these people each day. With that, I’ll turn it over to Kris.
Kris Smith: Great. Thanks, Rich. Good morning, everyone. 2024, what a great year for the company and our shareholders, so much happened across our business last year. All of the operational cost performance that Rich just highlighted, which allowed us to generate substantial free funds flow, retire $1.1 billion in principal of our debt, hit our $8 billion net debt target early, move to returning 100% of excess funds to our shareholders and of course, raise our dividend. All of which resulted in substantial return of cash to our investors in 2024 to the tune of $5.7 billion in dividends and share buybacks. And we are set up to – for continued improvement in 2025. But let’s first talk about the fourth quarter as we closed out the year very strongly, as you saw from our operational update in early January. Now first, with respect to the business environment in the quarter, we saw crude oil prices continue to weaken during the quarter with WTI averaging $70 a barrel, light heavy differential steady at $13 a barrel and synthetic crude averaging an $0.85 barrel premium to WTI. On the refining side, we saw cracking margins decrease driven by weaker gasoline cracks. However, our 5221 refining index remained strong at $24.25 a barrel, which is $1.80 below Q3, driven primarily by lower cracks, offset by lower crude oil pricing. Finally, natural gas prices increased by $0.80 a GJ, averaging $1.45 in the quarter, but obviously remained attractively priced for natural gas consumers like our business. Turning to our operational performance in the quarter and building on Rich’s comments you just heard, we closed the year with exceptionally strong operational performance across the board. Total upstream production averaged 875,000 barrels a day in the quarter, including almost 818,000 barrels per day in Oil Sands and almost 58,000 barrels per day in E&P. This was the highest ever quarterly production in our history. Firebag averaged a record 250,000 barrels a day in the quarter. Fort Hills was above plan at 162,000 barrels per day and continues to deliver on its improvement plan. And Upgrader utilization at base plant and Syncrude were very strong at 102% and 105%, respectively. Refinery throughput averaged 486,000 barrels per day or 104% utilization in the quarter. This is the second quarter in a row with all four refineries operating at or above 100% utilization, yet another first. Refined product sales averaged a record 613,000 barrels a day and margin capture averaged 90% on a LIFO basis when compared to our 5221 index. This sales performance, which was up 38,000 barrels per day quarter-over-quarter, reflects both the high reliability of our refining assets and the strength of our integrated supply and marketing channels. We also continue to demonstrate operating leverage with total OS&G expense of $3.4 billion, which was flat quarter-over-quarter, while production and sales were up significantly in both the upstream and the downstream. Also in the quarter, we successfully completed the base plant cogeneration facility, which is now ramping up. This project will provide integrated steam and power to our base plant operations and the capability to export up to 800 megawatts of baseload electricity to Alberta’s power grid. This strong operational performance led to strong financial results in the quarter despite a drop in crude prices and refining cracks from Q3. We generated $3.5 billion in adjusted funds from operations or $2.78 per share in the quarter and adjusted operating earnings of $1.6 billion or $1.25 per share. In the quarter, Suncor returned $1.7 billion to shareholders, including $713 million in dividends, which reflects a 5% increase in our quarterly dividend to $0.57 per share, underpinned by sustained operational improvements across the business and progress on our free funds flow growth initiatives. This is consistent with our commitment to a steadily growing and sustainable dividend. Share buybacks in the quarter totaled $1 billion, reflecting a step-up in share repurchases with the shift to returning 100% of excess funds to shareholders now that we’re at our net debt target. Speaking of which, we were very pleased that we hit our $8 billion net debt target early, and it is down $3 billion from end of ‘23 and $10 billion from our high watermark in 2020. In under 5 years, we’ve more than cut our net debt in half while expanding our free funds flow. As I indicated last quarter, you should expect our net debt to move up and down around that target from quarter-to-quarter as we manage working capital movements. In Q4, we saw a large release of working capital related to receivables, inventory and taxes, and expect to have a working capital increase in Q1. But rest assured, we are fully committed to returning maximum cash to shareholders per our capital allocation framework while prudently managing our business and balance sheet. Overall, fourth quarter performance is a result of our relentless focus on the fundamentals of our business and demonstrate our continued execution and acceleration of our $3.3 billion free funds flow growth target set out in our May Investor Day. And as Rich mentioned, we’ve uploaded a slide on our website specifically highlighting our progress towards that target. Now before handing it back to Troy, I’d like to take a few moments – a few comments on our 2025 guidance released in December. We expect upstream production to average 810,000 to 840,000 barrels per day with continued strong production performance across our assets, including increased bitumen sales to market and factoring in planned maintenance, specifically planned downtime at base plant with the 91-day coke drum replacement project scheduled to start in the second quarter, annual coker turnaround at both Upgrader 2 at Base Plant and Syncrude, both of which will be starting in the third quarter. And Fort Hills has small planned turnarounds in both the second and fourth quarters. Downstream, we’re guiding to an average refinery utilization of 93% to 97%, which is higher than our 2024 guidance to reflect higher reliability, offset by planned maintenance activities at our Sarnia refinery starting in Q1 and our Edmonton refinery starting in Q2. Our capital guidance for 2025 of $6.1 billion to $6.3 billion is consistent with the plan outlined in our – at our May Investor Day, including asset sustainment and maintenance capital largely consistent with 2024 guidance and economic investment capital, which is comprised of selective high-value investments like the U1 coke drum replacement that I mentioned just a moment ago. 2025 is all about building on the incredible momentum sparked by the success that we saw in 2024. We’ve only begun to see the impact of the initiatives we’ve started in the last 1.5 years, and like we said during our May Investor Day, our focus is on growing the bottom line, free funds flow, which will ultimately drive increased returns for our shareholders. And rest assured, the entire organization is focused on not only delivering on our commitments, but beating them. And with that, Troy, I’ll hand it back over to you.
Troy Little: Thank you, Kris. I’ll turn the call back to the operator to take some questions.
Operator: Thank you so much. [Operator Instructions] Our first question is from Greg Pardy with RBC Capital Markets. Please proceed.
Greg Pardy: Yes, thanks. Good morning and thanks for the rundown. Rich, when you look at 2024, I mean, the organization drove huge operational improvement, both upstream and downstream. And when you look at ‘25, does either segment shine more brightly or is it still expected to be fairly balanced between the two?
Rich Kruger: Greg, I’m going to – let me start out answering your question, and I’m going to turn it over to my two all-star linebackers here on the left, Peter and Dave to supplement it. But I think the philosophy we’re bringing about the business of getting the most out of our existing asset base, that is company-wide, looking at what are the constraints, what are the debottlenecks? How can we structurally change not only the performance, but the potential of the organization? So that will go on. We got a good taste of success in ‘24. but we’re not done yet in ‘25, but maybe if I could ask Peter and Dave to comment from each of your businesses, kind of your own thoughts on that going forward?
Peter Zebedee: Yes. Sure. Thanks, Rich. Yes, I think, Greg, the way to think about it is on a daily basis, on a shift-by-shift basis, we’re really looking at where the constraints are in our production units. And so when we find those bottlenecks, when we find those pens, we’re looking to see what technical work we can do to reengineer that to unlock additional barrels and move those barrels into the upgrading ecosystem. So I would say in the Oil Sands segment, we absolutely have more potential that we’re looking at. But these are low to kind of no cost debottlenecks that the teams are looking at consistently across the plot.
Dave Oldreive: Yes. And thanks, Peter. And Greg, great question. We were actually just talking about this at our downstream leadership team meeting just yesterday, where the team was saying, do we need to rerate or not? And really, the conclusion we drew was we don’t think we’re done yet. So it’s not really the right time to go re-rate because there’s still some more potential in our capacities. The way we’ve been gaining increased capacity in the downstream, similar to Peter’s, kind of informs how we might think about 2025 as well. We’re seeing shorter turnarounds as we drive for competitiveness in our turnaround area. We’re seeing optimization – better optimization during turnarounds and during other outages. For example, in our Q2 turnaround in Sarnia, we took some intermediate components for the first time ever, moved them from Sarnia to Montreal. That allowed more crude rate in Sarnia and more conversion capacity in Montreal. We did that again during a short maintenance outage in Sarnia in the fall. So we see more opportunities like that to help our integration. And like Peter said, constraint busting, we have a results-focused mindset with our engineers and operators looking at constraints every day, following our OEMS systems and really within our operating envelopes trying to debottleneck. We find the constraint, we remove the constraint and we look for the next one. A few examples of that in 2024 and look, we don’t know what 2025 will bring, but we think we’ll see more of the same kind of examples. We modified some air registers in our crude furnaces in Montreal to get about 13 kbd rate increase. Sarnia, we replaced a control valve on the crude unit, 3 kbd. In Edmonton, we’re working with Peter’s team to optimize the crude slate into Edmonton to optimize every draw on our crude unit every day. That gave us 3 or 4 kbd in the year. So we’re going to continue to look for more opportunities like that, and I think there’s potentially some upside in ‘25.
Rich Kruger: So I think, Greg, if I just circle back to the start of your question, we see these opportunities still across the enterprise, upstream and downstream. Is it more one or another? I don’t look at it like that. I think just the overriding message is we’re not done yet.
Greg Pardy: Okay, thanks for that. Very, very complete. And then related to that, I know, Peter, you’ve talked a lot about just the ability to source bitumen across the organization. Can you talk about maybe what I’d almost refer to as like multidimensional integration within Suncor that you’ve established?
Peter Zebedee: Yes, absolutely, Greg. I think increasingly, it’s good to think about our upgrading capabilities more like we do refining. So we can source bitumen from multiple sources within our bitumen production units in the region, and we can move those barrels to whatever Upgraders requiring them when they’re needed and in largely the volumes that are required. Our goal at the end of the day is to maintain – keep those Upgraders full and be relatively bitumen agnostic. So if we – if Syncrude needs more bitumen we can move Firebag barrels over there. If the base plant Upgrader needs topped up with additional bitumen, we can move Firebag barrels in there, we can move Fort Hills barrels in there. And so we have a team that looks after value optimization, moving the right barrels of bitumen to the right places at the right time to generate maximum profits.
Rich Kruger: And I’d just add to that. It’s not only the maximum volumes and things, but then with Dave’s team looking at what is the market demanding at points in time and what products, the ability to – whether it’s upgrading, but the slate of products we can produce, whether it’s crude oil products, we are very tied in there. So that integration goes way beyond just simply the physical integration of an asset base, but it all is about ultimate value all the way through to the customer. And so how the teams work together, I would say, is at an increasingly uniquely integrated manner. And here again, my overriding message is we are not done yet.
Greg Pardy: Excellent. Thanks very much.
Operator: Thank you. Our next question comes from the line of Dennis Fong with CIBC. Please proceed.
Dennis Fong: Hi, good morning. I guess, first, congratulations on the significant progress you’ve made to date on your plans and frankly, looking forward to 2025. My first question here relates to Fort Hills. I was actually hoping if you could provide a bit of an update in terms of mine progression? I know on the last call, you discussed a little bit – or Peter discussed a little bit around moving from south pit to center and then obviously, center to north. Just wanted to understand a little bit more about that as well as heavy equipment deliveries and how you’re making progress on the two cuts?
Rich Kruger: Peter?
Peter Zebedee: Yes. Thanks, Dennis. We’re actually really pleased with the development and the establishment of the center pit and the north pit at Fort Hills. Maybe to give you a bit of perspective right now, things are well underway. We have 10 big mining shovels in the north pit right now, moving both overburden and ore to the crushers. There is five shovels in the center pit, and there’s only one left in the South pit that is kind of doing that last final cleanup of the pit walls and the last little bit of ore in there, and we’ll be out of there in the next couple of months. So I would say really pleased with the transition. Ore delivery is predominantly from the center and north pits right now. North Pit 1 is up and established. North Pit 2 is in the queue for later this year. So I’m feeling really good about that. And obviously, Fort Hills continues to meet the commitments that we set out in our 3-year reset plan in terms of production and our improvement in mine health, so pleased with that. On the equipment delivery, to the second part of your question, and Richard mentioned my 55 trucks at the start. I’m not sure they’re mine, but we did receive 45 of those trucks through 2024, exactly on schedule from our supplier. Happy with those. They went to both Fort Hills, but also to our base plant, received four more by the end of January and the remainder will be coming by the end of this month in February. So it’s exactly on track with the equipment deliveries. And we’re really starting to see the productivities in the mines come up with that. It’s about getting the right class of equipment, ultra-class equipment, in the right places in the mine to generate maximum efficiency and move those tons at the lowest unit cost that we can possible. So we’re starting to see that, and you see that show up in the cost performance of the company through 2024. It’s showing up in the bottom line. It’s about mining efficiency, at scale, to deliver big production volumes, but also to do it in the most efficient way.
Rich Kruger: Peter, also comment on autonomous implementation. That’s kind of the other – a big part of your strategy. Where are you on that?
Peter Zebedee: Yes. We’ve set out our plan last year to have all of the ore delivery at base plants under autonomous trucking. That was completed in December. So, happy to see all of the ore that is delivered to the crushers at base plant by the end of 2024 is done by autonomous trucking. We also set an objective to have 91 trucks converted over to autonomous operation by the end of the year, and that was also accomplished and now sets base plant, Millennium Mine in North Steepbank as the single largest deployment of autonomous trucks anywhere in the world. And so we’re really pleased with the implementation of that technology, but perhaps even more so our ability to really fine-tune all of the variables to make sure that we’re moving those tons as efficiently as possible. It is really next level. And the team has done some fantastic work again, similar to what we’re doing in production, where is the bottleneck? How can we overcome that with engineering solutions, with operational techniques and procedures and really getting the delivery out of that system that we expect?
Rich Kruger: And the way I would ask you to look at that is in our May investor deck. We had the fewer trucks, bigger trucks, autonomous trucks were kind of a core of Peter’s improvement strategy. 2024 was – we had the buildup curve. The trucks arrived throughout the year, the conversion to autonomous arrived throughout the year. So now as we get into 2025, particularly here in the first month or so, all of that will be in place, and you’ll see a full year of the value creation from that, whereas in 2024, you only saw a partial year as that buildup occurred.
Dennis Fong: Great. No, I really appreciate that color and that context as well. My second question, frankly, focuses more on turnarounds. So you have some, obviously, some major planned turnarounds coming up later this year, including the U1 coke drum replacement program. Can you talk towards some of the steps or measures you’ve put in place that drive cost controls as well as moderate downtime risk, especially as it relates to this very significant project and relating to the 91-day turnaround?
Rich Kruger: Certainly, Dennis. I’m going to turn it over to Shelley here in a second, but I think it’s One of the things as we put out our guidance and look at the year ‘25, it is a heavier planned maintenance year, both in the upstream and then, of course, some material turnarounds in Edmonton, in particular. So how ‘25 shapes out is we’ll have much better sense as the year goes on and some of this work is completed. The coke drum placements at the base plant are probably perhaps the biggest event of the year. The last time we did it was kind of the same year Moses parted the Red Sea. This was a long time ago. These things last 50 plus years. But Shelley and her team are leading that, driving that. So Shelley, offer some specific comments on that work?
Shelley Powell: Yes, for sure. So we’ve been working on the coke drum replacement project actually for quite a few years to this point, just to give you a sense of the size of that project. In total, it’s about 2.8 million hours to complete the entire project. We’ve already completed 2.3 million of those hours. So coming into 2025, it’s actually a small scope. There’s only about 500,000 hours left, albeit it’s the critical scope of the actual drum replacement in the turnaround. So to your point, we’ve had extensive reviews. We’ve had extensive project planning sessions. We’ve got our own internal experts deeply involved in the project. And we’ve also brought in external cold ice folks who have done this type of work before, people that have experience replacing coke drums in other plants around the world. So we’re really bringing the best of the best of what we have internally as well as externally just to crawl all over this project and make sure we’re set up and ready to go. In terms of actual kind of project readiness, we’re in really good shape. We’re really happy with how we exited last year. We’re slightly ahead of plan. All the coke drums are on site now. We’ve put our hands on them. All the major equipment is on site. And we’ve also gone so far as to build some kind of practice mockup structures so that our maintenance personnel are – they’re practicing on them as well as our operations personnel are also able to kind of train and practice on new equipment. So we feel like we’re in good shape. It’s definitely a big critical piece of work for us this year, but we’re definitely watching it very closely.
Rich Kruger: And the – a bit more than a year ago, this was more than a 100-day work scope in our estimation. But the turnaround improvements that both Shelley and Dave are leading across the enterprise have found the ability to further improve that, optimize that to this current 91-day schedule. So it’s – we’ve built in the improvement we’re seeing, but it – I wouldn’t say it’s a fingers crossed kind of thing, but we got – the critical work is ahead of us and they will be all – the high-fives will be later in the year when we complete that.
Dennis Fong: Great. Thank you for taking my questions. I will turn it back. Really appreciate those.
Operator: Thank you. Our next question comes from the line of Manav Gupta with UBS. Please proceed.
Manav Gupta: Good morning, guys. Congratulations on all the milestones. My question here is that like 9 months ago, you kind of set a target of lowering your all-in breakeven by $10. And I think in the first year, you were looking for $4 to $5 and then the balance between the remaining $2. You’re already at $7, which is very commendable. I’m just trying to understand like would you also look at a situation where this can go more than $10? So once you get to year-end $2, could you make it from $10 to $12? And similarly, from your normalized free cash flow assumptions, they’re almost 70% at your target already at the end of year 1. So as you work through the system, could be there – could there be upside to these numbers that you gave us about 9 or 10 months ago?
Rich Kruger: Manav, based on your question, you are qualified to be one of my bosses on our Board of Directors because they’re asking me the same thing. And I think what’s important is when you break down the 3-year plan had very tangible activities that built up to the $4 in the first year, $2 in the second year and $4 in the third year. The achieving the $7 in the first year, it’s a combination. We did a few things earlier than we expected, but also the delivered benefit on other things was more than we expected. So our inventory of continued improvement largely remains. I use that tangible example of Peter’s trucks. We will now have a full year benefit of that, which we did not have in ‘24. So does the $10 grow? We have – quite frankly, we haven’t spent a lot of time recalculating that. We’ve spent more time with our head down, tail up, delivering value. And I think time will tell but what it ultimately is. I will tell you, I’m encouraged that the value creation that our – we’re not depleting our inventory of ideas. As we capture things, we are seeing new ideas, new opportunities to add to the list. So our own ambition – I don’t have that number for you, but our own ambition as a result of 2024’s performance has been elevated.
Manav Gupta: Perfect. My quick follow-up is you guys have a very informed view on refining. We started the year on somewhat of a bearish note. It’s been very well until now. Some of the global capacity additions got delayed. Some capacity is already going offline and the diesel cracks are moving up, which obviously helps you out a lot. So just trying to understand from you like 6 to 9 months outlook that you have for refining?
Rich Kruger: Dave, you want to offer – I know it’s speculative, give a couple of quick comments.
Dave Oldreive: Yes. I mean I would say we – there were a few years over the past few years where I’d say the refining margins were above where you’d expect kind of unusually high. And I’d call them what we call a lower – everyone is calling lower refining margins now are probably more typical. I think there’s potentially some upside into the next year. But at the end of the day, we’re focused on winning in any environment here at Suncor. Our integrated model helps us win when the cracks are low, helps us take advantage of the market when the cracks are high, and we continue to optimize that integration over time. We are putting more throughput which is lowering our dollar per barrel cost. We’re optimizing our business across our portfolio. Sales and marketing business, we are growing that to have more profitable domestic sales. We’re growing our trading business to make more money selling direct to customers. And we’re really optimizing our integration throughout the downstream. So really, we’re – our focus is we want to win in any environment. We’ll see where the cracks go. I can’t really speculate on where they will go. But, yes, as you pointed out, there may be a little upside, and we’re ready to take advantage of that.
Rich Kruger: And I made the comment earlier about the teams, the integrated teams, whether it’s the crude slates we produce or the products. But I think that extends further into Dave’s team that we have kind of a balance of the East and West in our refining capacity. The markets and the growth opportunities vary between East and West. But increasingly, Dave’s folks are figuring out ways to get product that may be manufactured in the West get it delivered in the East or vice versa. And I think that’s going to allow us that whatever the market environment is, we’re well positioned with market know-how, with logistics and then the capabilities of our asset base to maximize whatever value is there in the market, we are going to get it.
Manav Gupta: Thank you so much.
Operator: [Operator Instructions] It comes from the line of Menno Hulshof with TD Securities. Please proceed.
Menno Hulshof: Hi. Good morning everyone. I will start with a question on consolidation since we have seen quite a bit of it in recent quarters, including your consolidation of Fort Hills and CNQ’s consolidation of the EAOSP through two transactions. And high level that, that leaves Syncrude. And I understand that you can’t speak on behalf of your partners. But how much time do you spend thinking about Syncrude consolidation these days? And I suppose along the same vein, how active is the Lease 29 discussion at the moment? Thanks.
Rich Kruger: Menno, for the last year or 2 years, we have been heavily focused on that 99% of our workforce that drive trucks, operate shovels, run refineries and get things right. And as we have increasingly achieved that that allows that 1% of us to think about how do we add shareholder value long-term. And certainly, with the integrated nature of our asset base, you mentioned Fort Hills, that is a tangible example. So, we are going to be continuing to look at those opportunities that can add value based – that perhaps the current owner doesn’t have the opportunity to achieve, but through our ownership/operatorship that we can achieve. So, we look at any and all of those opportunities. It always comes down to, do you have a willing buyer, a willing seller. Obviously, I can’t comment on any specific assets, but it’s about creation of a unique level of value where it’s not just about a speculation on what oil price is going to be. That’s where we are focused.
Kris Smith: Menno, it’s Kris here. And just on that last part of your question around Lease 29, just come back to what we have been talking about for the last 12 months to 18 months. We have set ourselves up with our business in terms of our bitumen supply with our current assets and leases as well as the leases that we have the opportunity to develop. Lease 29 is something that’s been talked about in the market a long time. Certainly, it is an opportunity for a mine extension. There is always conversations in the background that have around those types of things. But for us, Lease 29 is not the focus. We have more than ample bitumen supply in our portfolio to keep our upgraders full and lots of bitumen development opportunities going forward.
Menno Hulshof: Terrific. Thanks. Thanks for that. And then maybe the second question is egress related since you often emphasize your marketing and sales and trading capabilities as an advantage. So, in the context of tariffs risk and with the understanding that you are far less exposed than most, how much ability does Suncor have to shift cargoes away from U.S. and U.S. markets and West Coast markets in particular, especially given the potential for an uptick in throughput at the Westridge Marine Terminal towards the middle of this year, I believe?
Rich Kruger: Well, I would say that I don’t know that anyone on the planet knows exactly what’s going to happen on tariffs, so we won’t – I won’t speculate on that. But then if I take it more directly to your question, the kind of who wins and who loses in this. And I think when you – all Canadian companies, they are going to experience the impact differently. If you are a heavy oil producer that rely – moves your crude across the border, that’s one thing. But if you get into our situation, probably what, 60%-65% of our barrels stay north of the border, and they either go to our refining network, other refineries, customers and/or off of the coast, so that’s a high fraction. We have a large Canadian refining footprint. And I believe among our peers, we have more capacity to get crude off of either coast than the other peers who also have those Canadian refining footprint, etcetera, etcetera. So, if you march on down, the – this what’s gets back into that fundamental, that kind of integrated nature of our asset base gives us more resiliency, kind of a natural hedge in whatever the market environment, upstream, downstream and/or tariffs would play. We believe in free trade. We think the U.S. needs us. We need the U.S. But if we were in a world of tariffs, I like our position relative to our peer group.
Menno Hulshof: Thanks. Thanks for that. Maybe just on the Westridge Marine terminal, is that expansion – does that – does midyear sound about right, if I can put you on the spot?
Dave Oldreive: Sorry, Menno, can you repeat that? Sorry.
Rich Kruger: Yes. You broke out a little bit there.
Menno Hulshof: Oh. Sorry about that. Just in terms of the Westridge Marine Terminal, does that sound – in terms of the expansion of throughput, does midyear sound about right?
Dave Oldreive: Sorry. You are talking about the Westridge dock at the TMX?
Menno Hulshof: Yes, that’s right. Yes.
Dave Oldreive: Yes. Okay. I think there is a couple of things at Westridge Dock that they are – that TMX is working on. One is lighting to allow ships to load at night or dock at night. That will help drive some expansion. And then – and that’s on track to happen very soon. And then later in the future will be some capability to dredge under the Narrows Bridge [ph], which will allow large cargoes. We have been pretty happy with – we took a little – couple of months to work out the logistics on the Westridge dock, but it’s – we knew it was going to be a busy logistics situation. The team has done – we have worked with the TMX team, others have worked, and we really – we think the logistics are working out really well over there.
Menno Hulshof: Thank you. Thanks for letting me squeezing. I will turn it back.
Operator: Thank you. Our next question comes from the line of John Royall with JPMorgan. Please proceed.
John Royall: Hi. Good morning. Thanks for taking my question. So, my first question is on the production guidance for ‘25. It’s flat at the midpoint with ‘24 is actual with, ‘24 obviously being a terrific operational year. And I know you had some incremental turnaround activity in ‘25, which Rich mentioned, which is probably why we are not seeing more growth this year. But is it fair to think that if the midpoint of the range is perhaps assuming operations and reliability aren’t quite as strong as they were in ‘24 and where everything kind of seemed to go right? And if operations do come in similar to ‘24, should we be thinking kind of more high end or maybe even above?
Rich Kruger: John, I think you called it right. When we put out guidance, of course, we didn’t quite have the fourth quarter. And I got to tell you, the team – the team kicked ass in December. It was higher than I thought. At the time we put it out, I didn’t think it would be right at the midpoint. Quite frankly, I thought 2024’s results would be a little bit lower than they were just because of where things were tracking. But I think the big thing in 2025 is – this is a question once Shelley gets all this coke drum replacement done, I will be in a much more confident position to answer. If that goes as we would hope and expect and all of our teams are focused, you are probably right. We are probably towards the high end of that. If it doesn’t, because the last time it was completed was 50-plus years ago, that would move it around in that. So, we have got fundamentally the same asset base. So, we are assuming continued high performance. We have not – the company today, we are not saying, wow, we did really good this year. We are probably not going to do that again next year. That is not the mindset, the culture of this organization. But it’s really the maintenance work that it kind of gives us a bit more of the unknown.
John Royall: Okay. Thank you. And then my follow-up is on Firebag. It’s been an asset where you increased production pretty significantly. Can you talk about the types of things you have done there? And is there may be more kind of low-hanging fruit type of potential in that asset from here or maybe even something that could require some capital that could move that production up even more? Should we think of it as kind of having hit its true potential here?
Rich Kruger: Well, the gentleman I am going to turn this to didn’t know I am going to turn this to him because he is now our Chief HR Officer. But for the last several years, he has been driving the improvement at Firebag. Adam, can you – what the hell have you done over the last couple of years at Firebag that’s added 35,000 barrels a day in 2 years without any growth investment?
Adam Husain Albeldawi: You bet, Rich. Thanks for the question. Maybe just building on Rich’s comments, the mindset and the culture at the Firebag asset is consistent with the rest of the organization. So, what I mean by that is the teams are constantly looking for what is actually constraining the production, what can we do in the short-term to safely unlock further production. That is the focus at Firebag, which is consistent with the rest of the organization. So, a couple of examples, we had a water constraint, small piping arrangement to unlock water management. That was completed. We had a PSV constraint. We added a fifth PSV, remove that constraint. That was completed to unlock further production. We are constantly looking for other opportunities to do that. And I am confident that the team has a long list of opportunities to further unlock and increase production further. And you have seen that in December with a 250,000 barrel per day production rate at Firebag, so.
Rich Kruger: John, just a quick add to that. The – we need to be sure we stay well long in terms of capacity long as we increment the facility capacity. So, Shelley has got a drilling team and others that are looking at, okay, we are probably going to have to add some well pads quicker because of the capacity. That’s a great problem to have. And the resource base at Firebag is high quality and long life. So, there are a lot of opportunities there. But this is a fun one for us because this is our most – single most valuable asset corporate-wide.
John Royall: Thank you.
Operator: Thank you. One moment for our next question, that comes from the line of Adam Wijaya with – at Goldman Sachs.
Adam Wijaya: Yes. Good morning Rich and team and thank you for taking my questions. Maybe I want to start on the retail side of the business, just going back to the Investor Day in May. Where do we stand as it relates to some of the margin improvement targets there for this part of the business? And then can you comment maybe on what has surprised to the upside or downside versus prior expectations? Thanks.
Rich Kruger: Thanks Adam. I think the last time I saw you, I was sitting next to you in Miami, if I remember right. Dave, do you want to comment quickly on how we are doing on the retail growth plan?
Dave Oldreive: Sure. Absolutely. And the retail growth plan is one of the things that completely underpins our overall sales and marketing growth. And as you know, we continue to grow our sales and marketing volumes with 600,000 barrels a day for the year. We shared on May 21st plans to high-grade our Petro-Canada network, leveraging strategic partnerships and deliver $200 million by the end of ‘26. We are still on track to do that. And in fact, we are evolving our plan as we continue to learn, it’s a pretty competitive market out there, as you see with other folks who are reporting retail earnings. It’s a competitive market out there, and we continue to evolve our plans. We are enhancing our quick-serve restaurant offerings with new A&W sites, new express format concepts to get more restaurants and more sites. And we are seeing the results. Our retail pumping costs are actually down year-on-year, and our same-site store volumes are up year-on-year. And we are just getting started. If you look around major markets in Canada right now, you will see a bunch of Petro-Canada sites with fences around them. That’s because we are rebuilding the sites. And really, our goal is to offer full-offer locations that are just simply better than what our competitors are offering. That will give us better margins, lower pumping costs and retail sites that will stand the test of time. We are also working on our Canadian tire partnership. That’s a great partnership. We are looking at – to convert 200 sites over the next couple of years and increase our sales volume by about 1 billion liters a year. So, lots going on in the retail side, still on track.
Rich Kruger: I would just add to that. It’s about value and volume, and we are getting the volume, but we are also getting it’s value at the high end of the food chain. The retail, the branded sites, I won’t repeat Dave’s examples, but it’s kind of that two-pronged approach. And we hit – we had a little bit of a bubble in mid-2023 with the cyber attack that we kind of went through. But ever since then, as we have come out of it, we are right back on the plan we have outlined. And I think in an uncertain world that having that retail network and those high-value distribution channels, that is also a source of competitive advantage.
Adam Wijaya: Great. That’s super helpful. And yes, Rich, your memory is correct on Miami. Maybe just my follow-up is just on – when we look at 2024 versus 2023 results, see that total operating, selling and general expenses were down about $300 million. Can you touch maybe a little bit on some of the moving pieces there? And then any color on expectations for 2025 as it relates to the rate of change from 2024? Thank you.
Rich Kruger: I think expense management is one of those things that I commented on, it’s attention to detail. It’s rigor. It’s spending money like it’s not your own, it’s someone else’s and you are accountable. I think expense management is a much a representation of the culture of an organization as almost any other measure. And so what you are seeing here is this evolving high-performance results-oriented culture at Suncor being developed. Both Dave, Peter and Adam commented on how, how do we unlock capacity without spending money, low no-cost barrels. You saw that. The other area I would say is getting more rigorous about the value of what we spend, the risk-based assessment of – as opposed to going through maintenance at a regularly scheduled interval independent of what the condition of a piece of equipment is, critically looking at it and say, what do we need to do on it. So, it’s just – it’s rigor and discipline. And the $1 billion we took out year-on-year ex the Fort Hills acquisition, it exceeded my expectations. That was more than I thought. But here again, I think it’s kind of – I am a broken record here. I don’t think we are done yet. Will the rate of change in ‘25 on absolute cost be the same as ‘24? I don’t know. That’s a pretty ambitious objective, but we are not done yet.
Adam Wijaya: Great. Thank you.
Operator: Thank you. Our next question comes from the line of Doug Leggate with Wolfe Research. Please proceed.
Doug Leggate: Thank you. Thanks Rich for letting me on. Rich, I don’t want to go back to the $7 out of $10 question from earlier, but I do want to ask you about the production volumes because you have already talked about Firebag ad nauseam, but you did say 100,000 barrels a day, you are clearly there. What do you think the volume trajectory can look like from the incremental line of sight you have on what happens next, across the asset base?
Rich Kruger: Yes. Thanks, Doug. We got 82,000 barrels a day out of the 108,000 in the first year. I tell you what we’re doing, kind of a glimpse under where we’ve got more work going on. You said Firebag ad nauseam man, I can talk about Firebag all day long. That – so there is still growth there. So this whole idea of looking at the constraints, ensuring we have the well capacity, looking at the export pipelines. There’s more there to be captured. Some of the other areas, as we continue to execute the Fort Hills, the 3-year plan, now we’re spending more time looking at years 4 through 44, not 1 through 3. So looking at what we can do. We know we have a plant or two trains in that plant that when combined are more than the 194 nameplate capacity. So we’re looking at, all right, what do we – what do we need to do to have the ore delivery to feed that beast at the rate at which it can eat. So those are probably two areas that offer the greatest potential that if we’re sitting here a year from now talking about flowing past 108,000 barrels a day, those would probably be the two areas that I think, my guess, today that we would be highlighting that will allow us to drive further.
Doug Leggate: Okay. I appreciate that. I mean the progress, obviously, since you’ve been there has been extraordinary, but there’s always someone out there trying to knock the story in some regard. And the thing that has come up again, as I’m sure you’re aware, is this issue of baseline ARO liability long term. So I wonder if I could just ask you to frame – on an annual basis, as I see it in the annual report, it’s probably $400 million a year or something like that. Can you just frame for us how you think about that, how you think about managing it? And is it – it sounds to me like it’s relatively modest in the grand scheme of everything else that’s going on. But just put some numbers around it for us on a discounted basis, if you can?
Rich Kruger: Yes. I am going to ask Kris to comment on the numbers on it, but I think there is kind of two dimensions to it is the long life of the Upgraders and the long-term bitumen supply. And part of that, it all intertwines together in terms of abandonment reclamation, timing and obligations. But Kris, comment on kind of the – as you said, kind of the moderately de minimis spend that goes on each year.
Kris Smith: You bet. Hey, Doug. And Doug, you put your finger on a key number that you see in our financials related to it. So think about ARO this way. I mean we have a number in there that shows the discounted ARO. That is over a very, very long period of time. So we have reclamation activities, reclamation closure activities going on continually across our asset base up north. Averaging both at $400 million and $500 million a year, kind of I’ll call it, ratable spend. It might go up a little bit more in 1 year. It might actually be a bit lower in another year. I can tell you that Peter Zebedee’s team is doing a terrific job on working our mine and reclamation and our closure plans and actually continuing to optimize. It is an area of optimization opportunity as well, but think about this as kind of a very long-term ratable spend, right? It isn’t a case where you get to an end of mine life and you got a big balloon of reclamation activity and costs that all of a sudden shows up. This is an activity which is very ratable over time. So we’re very confident in the plans. We’ve got a lot of – a lot of specific plans in place. And I think you can kind of just count on that sort of ratable approach to ARO and reclamation. Peter, is there anything you want to add?
Peter Zebedee: And maybe a couple of other things for a perspective, Doug, it’s not – and another good example of Suncor integration now that we’re operating multiple mine sites is that we’ve standardized engineering assumptions and our engineering planning for ARO across the asset base. So that certainly helped in making sure we’ve got our assumptions correct and that they are consistent. The second part is beyond just the immediacy of improving our mining efficiency and the result on our bottom line, that also translates into ARO assumptions, because ARO at the end of the day, especially for a lot of these big mines is about moving material, moving dirt and moving water. We do a lot of that today. So the efficiencies that we’ve driven into those activities today have ultimately resulted in reducing our ARO liability, because our confidence in executing that type of work has increased tremendously.
Doug Leggate: Thank you, guys. Guys, thank you for the detailed answer. A very quick follow-up, if I may, Kris. Cash CapEx versus the funding of this, does it come out of working capital in the balance sheet? How does it flow through the cash flow statement? And I’ll leave it there. Thank you.
Kris Smith: Yes. So you’ll see it. It does run through that. It’s an expense, and then you’ll see it, obviously, as we do the bridge from operating earnings to AFFO, Doug.
Doug Leggate: Okay, got it. Thank you so much guys.
Operator: Thank you. And we have a question from the line of Patrick O’Rourke with ATB Capital Markets. Please proceed.
Patrick O’Rourke: Good morning, guys. Thanks for the comprehensive rundown thus far and congratulations on another very strong operational execution quarter. Just a few very quick questions from me. First, with respect to the balance sheet and the working capital build and release obviously, that worked in your favor here, bringing the debt materially down below that $8 billion. I know you talked about some reversal in the first quarter here and then throughout 2025. Can you maybe walk through the potential cadence of that? And then, as you sort of determine what’s structural versus what’s cyclical, how and when you make the determination on returning some of that capital to shareholders?
Kris Smith: Yes. Thanks, Patrick. Great question. The working capital story, I think, for the company has been a really good one this year. It’s been a tremendous amount of focus on it. I mean we certainly see a lot of variability. It’s the nature of our business. You’ll see that variability quarter-to-quarter. I commented a bit of that in my opening remarks. So we did see a big release in Q4. A lot of that, it was related to AR, moves in commodity price. We saw timing of cargo settlements as well as timing and commodity taxes and then a drawdown in inventory. I do expect that to come back, as I mentioned, in Q1 as we build inventory for turnarounds. We’ve got some other timing in working capital. So you’ll always see a variability. But there is structural change underlying the working capital story here at Suncor. And it’s been part of the story of actually hitting that net debt target early. What I can assure you is we’ve got huge focus in our organization on our working capital. And we’re really managing against that net debt target. We use the words at or near. We want to make sure we’re comfortable where that net debt is. We’re very comfortable with it. And as we get more confidence in structural releases of working capital, that cash is going to be able to be returned to shareholders.
Patrick O’Rourke: Okay, great. And then just in terms of the return of capital policy here, having sort of outperformed on a lot of your milestones, you talked about being ahead on the $10 improvement on breakeven. How do you think about allocating that outperformance between sort of the return of capital mechanisms, the dividend, which is more of a commitment on structural versus the share buyback program that you’ve had in place?
Rich Kruger: Yes. I mean I think it started – we outlined this in the May deck. We had a page that kind of – we’ve got to take care of our existing asset base, that’s sustaining capital. The goal of the vision is a reliable and growing dividend over time and then quality investments and return surplus cash to shareholders. We – in that plan, as we were going – as we got to the $8 billion net debt target, the idea there is we kind of wanted a 1x coverage at – in a $50 a barrel world. So that kind of – that philosophy of what we’re looking to achieve is still intact. And as the business improves, we will look at that. What is the – what the AFFO generation or the free funds, what is – what – are we able to deliver? But it’s we want to be strong and resilient in weaker market conditions and then be, obviously the ability to be opportunistic in stronger market conditions. So the fundamental philosophy hasn’t changed, but the commitment to returning cash to shareholders is every bit as high, if not higher than it was a year or so ago.
Patrick O’Rourke: Okay, thank you.
Operator: Thank you. As I see no further questions at this time, I would like to turn the conference back to Mr. Troy Little for closing remarks.
Troy Little: Thank you, operator. I’ll actually turn it back over to Rich for some closing comments.
Rich Kruger: And I’ll be brief here guys. By now, everyone knows I’m a big sports fan. I love competition. I love the concept of winning. I respect, admire, excellence, the dedication, determination, anyway you want to describe it, of being a champion, the Gretzkys, the Brady, the Jordans, the best of the best, the Hall of Famers. We all know they did not get there with one or two good seasons. It takes excellence year after year. That is the objective of today’s Suncor, sustained excellence. 2024, a good year, arguably a very good year, don’t worry about this company reading our headlines, drinking the Kool-Aid. We are as hungry as we have ever been. We want more. We started on January 1st of this year to deliver more. That’s all I have. Troy, I’ll turn it back to you.
Troy Little: Thank you, everyone, for joining our call this morning. If you have any follow-up questions, please don’t hesitate to reach out to our team. Operator, you can end the call.
Operator: Thank you all for participating, and you may now disconnect.